Operator: Good day, everyone, and welcome to the Mack-Cali Realty Corporation's Fourth Quarter 2018 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Michael J. DeMarco, Chief Executive Officer. Please go ahead, sir.
Mike DeMarco: Good morning, everyone, and thank you for joining the Mack-Cali fourth quarter 2018 earnings call. This is Mike DeMarco, CEO of Mack-Cali. I am joined today by my partners, Marshall Tycher, Chairman of Roseland, our multifamily operation; David Smetana, our CFO; and Nick Hilton, our EVP of Leasing. On a legal note, I must remind everyone that certain information discussed in this call may constitute forward-looking statements within the meaning of the federal securities law. Although we believe the estimates reflected in these statements are based on reasonable assumptions [Audio Gap] refer you to our press release, annual and quarterly reports filed with the SEC for risk factors that could impact the company. We filed last night our supplemental for this quarter, and we issued a revamped investor deck last month for our Investor Day. These combined presentations will reflect the ongoing [indiscernible] any further suggestions [indiscernible] We look forward to see many of you at the upcoming conferences [indiscernible]. As we've done before, we're going to break our call down into the following sections. I'll make [indiscernible] operating quarter and [indiscernible] for 2018. This 2018 is [indiscernible] positive results for 2018 [indiscernible] and related expected [indiscernible] indicated this [indiscernible] greater than expected [indiscernible] before it seems to be since we may have. For our 2019 [indiscernible] in the prior second quarter for [indiscernible] the lobbies and any packets, most of the improvements we made [indiscernible] properties [indiscernible] expected detail [indiscernible]. Our view on hold for 2018 [indiscernible] we expect to deliver quite a bit a new products [indiscernible] 25% [indiscernible] plan to sign the bottom of oil has been completed now approximately [indiscernible]. Look at this period is the fine tuning stage [indiscernible]. Before we go very, very low expirations that focus [indiscernible] probably more [indiscernible] a very, very good quarter for reasonable or projects [indiscernible] possible in the process of creating accrued the [indiscernible] really complete. [indiscernible] we were able to [indiscernible]  substantial public space. For the [indiscernible] for example, the presence in [indiscernible] and second very interest in that program [indiscernible] David will discuss [indiscernible] come down [indiscernible]
Nick Hilton: Thank you, Mike. We posted another good quarter to closeout 2018 signing just over 358,000 square feet of transactions, resulting in our Core, Waterfront and Flex portfolios finishing at 83.2% leased at year end. Of these transactions, approximately 40% or 141,000 square feet were new leases and 60% or 217,000 square feet were in-place renewals. Across all markets, our rents on Q4 deals rolled up 2.9% on a cash basis and 15.1% on a GAAP basis. And we committed $2.99 per square foot per year lease term. Looking back at 2018 as a whole, our portfolio saw over 1.9 million square feet of transactions signed with overall cash and GAAP roll ups at 7.3% and 22.5% respectively, the speed our initial 2018 guidance of 1.3 million square feet by over 40%. Further, it is important to note that the majority of these transactions were in-place renewals, and we're completed well in advance of the tenants' natural lease expiration. Focusing on our results by market and the fourth quarter, the Waterfront completed just over 43,000 square feet of transactions with the cash roll up of 15.9% and the GAAP roll up of 22.7%. In addition, we currently have approximately 120,000 square feet of new transactions that are in the final stages of lease negotiations, which carried over from the end of last year. So we look for us to make some exciting announcements in the very near future as we bring these to a close. Our suburban portfolio also remained active in the fourth quarter. Specifically, we executed just over 221,000 square feet of transactions. One of the most significant included the renewal of PBF Energy for over 57,000 square feet Parsippany. We're also in active negotiations with approximately 150,000 square feet of new transactions across our suburban portfolio. As previously reported, we are excited about the acquisition of 99 Wood Ave in Iselin, which increases our market share to over 30% in the Metropark submarket, a market where our holdings finished the year at over 98% leased. Focusing on the next 24 months, percentage of our core portfolio expiring will be in the single digits annually. As we continue to focus on delivering highly amenitized and upgraded assets, we believe we will continue to outperform the outdated product as corporations compete for highly skilled workers in a tight labor market. To that end, our activity level continues to be strong, especially on the Waterfront, where we are in active discussions with over 800,000 square feet of new tenants with the strong and varied industry mix, including technology for 200,000 square feet, media for 50,000 square feet, consumer products for 100,000 square feet, financial services for 400,000 square feet and co-working for 100,000 square feet. So with our largest struggles behind us, this activity should lead a further pure net absorption in the market. With that, I'd like to turn the call over to Marshall.
Marshall Tycher: Thanks Nick. Roseland's stabilized operating portfolio finished 2018 and 95.9% leased to the same-store NOI down 0.07% for the year. This result was primarily a function of flat revenues, largely result of leased up products adjacent to our same-store inventory in our multi-phase communities and a new corporate leasing policy resulting from increased [indiscernible] abuse in our corporate tenants. Washington D.C. and Jersey City, in particular, we have changed our operating strategy to reduce these corporate tenants will now [indiscernible] lease days that are a road to the lifestyle of our communities and replace them now with longer-term residents. We expect re-stabilization of these same communities by the end of the first quarter. Operationally 2018 was highlighted by the strong leasing success with 1,212 newly delivered departments across five communities. Four communities are now fully stabilized, including RiverHouse 11 at Port Imperial, Portside Phase 2 in the East Boston Waterfront, Signature Place in Morris Plains and Met Lofts in Morristown. The fifth community 145 Front Street in Worcester delivered a second phase in mid-2018. Both phases combined are currently 65% leased and are expected to stabilize this summer. These five communities have delivered at a 6.5% yield on costs and forecasted to produce stabilize NOI of $26 million. Looking ahead, and mostly from our 2017 deliveries, we expect our 2019 same-store stabilized pool to grow to 79% from 3,162 units to 5,673 units. We continue to transform the residential platform and forecast continued growth and earnings by these recent transactions. First, the third quarter acquisition or Prudential’s majority ownership in the 412-unit Marbella in Jersey City, which eliminate the Roseland's last significant legacy subordinate interest. Second, in January of this year, we closed on the assignment of Prudential’s 50% membership interest at M2, the 311-unit high-rise that joins Marbella. The acquisition is based on gross asset valuation of $195 million, and after refinancing, was a net capital requirement of approximately $36.5 million. Third and subsequent to quarter-end, we entered into a contract to acquire Soho Lofts, the 377-unit community, for approximately $264 million. The recently stabilized asset is located in Jersey City's emerging Soho West neighborhood near the Hoboken border. At closing, our Jersey City portfolio has stabilized units we comprised at 2,385 apartments and our average ownership will be 87.4%. In addition to our stabilized operations, Roseland's construction pipelines comprised of 372-keys and 1,949 departments. These construction activities representing total cost of $1.15 billion or forecast to generate NOI of $75 million. This portfolio increased two -- portfolio includes two reasons strategic starts, 25 Christopher Columbus, a 750-unit Signature development in Jersey City. This project includes a 36,000 square foot on-site elementary school, which we believe will be significant in addition to the neighborhood. After the long term, the low market tax abatement fixed for 20 years at 7.5% to enhance its returns. We also started construction on 233 Canoe Brook in Short Hills on the premier suburban towns in New Jersey. The 200-unit repurposing project is located adjacent to Mack-Cali's 150 JFK, the mall of Short Hills and Canoe Brook Country Club. Where we don't expect any residential deliveries until year-end 2020, we recently completed and commenced operations at Port Imperial of 164-key residents in. We anticipate a June opening of this duel flag counterpart, the 208-unit -- 200 keys, sorry, full service Marriott autograph collection. These hotels will serve as a cornerstone amenity for the port Imperial offering excellent access to Hudson Yards with the exceptional views of the Manhattan skyline. Upon stabilization, the hotels are projected to generate $14 million in NOI. As highlighted in our recent Investor Day and evident from the growth of our residential division, Mack-Cali continued its transformation into dual platform company with the Waterfront purpose. With that end, 64% of residential NAV is along the Hudson Waterfront, the figure that will grow the closings [indiscernible]. [indiscernible] our Waterfront submarket is constrained of only two substantial deliveries in Jersey City and one in Weehawken through 2020. Moreover, we control approximately 6,000 units of the most desirable construction and development sites in this quarter. Finally, we estimate residential NAV of approximately $1.86 billion after accounting for Rockpoint participation, Mack-Cali's share of NAV of approximately $1.58 billion or $15.70 per outstanding Mack-Cali share. With that, I will now turn the call over to Dave.
David Smetana: Thank you, Marshall. As a few brief highlights before turning the call back over to Mike for closing remarks. We reported core FFO per share for the quarter of $0.45 versus $0.50 in the prior year. The year-over-year decrease is due mainly the move-outs of tenants on the Waterfront and lost NOI from assets sales executed as part of our disposition program. Same-store cash NOI declined by 2.1%, and GAAP same-store NOI declined, for the fourth quarter, by 4.5% with the year-over-year declines once again driven by move-outs in our Waterfront portfolio offset by favorable adjustments to real estate tax expense. Jersey City completed its first tax revaluation since 1988 in the fall of 2018. Given our current vacancy in Jersey City, as well as other successful tax appeals across the portfolio, our 2018 tax expense was reduced. The blended impact of these tax adjustments improved NOI by almost $3 million in the quarter. We see the real estate tax expense line item normalizing in Q1, 2019 in the $16 million to $17 million range. Now touching for a second on dispositions. As noted in the press release, in the Mike's remarks, our 2018 disposition activity combined with subsequent to year-end activity marks the formal end to our noncore disposition program. We sold one vacant office property in the land parcel from a former office site during the quarter for a total of $48.7 million of proceeds. We also executed the sale of the first of our five Flex portfolios Elmsford Distribution Center for $70.3 million in proceeds at a 4.5% cap rates. Subsequent to your-end, we sold two office properties for $22 million or $137 per square foot in a 4.1% cap rate. We also disclosed of noncore multifamily assets for $35 million. This asset carried a $25 million mortgage balance. There are an additional four noncore assets totaling $83 million under contract to be sold. Our 2019 noncore disposition guidance range of $155 million to $180 million, therefore, only includes an additional $15 million to $40 million of sales on top of the $57 million of closed transactions and $83 million of assets under contract. These additional sales will be weighted towards the second half of the year. As Mike mentioned, we have the four remaining sub portfolios of our Flex division under contract we sold for $487 million with the closing expected early in the second quarter. As always, we will look to opportunistically prune our trade assets into our core markets, but have not budgeted for any of this activity in guidance. I would shift now to the timing of some of our acquisitions that are part of 1031 exchanges in another joint venture consolidation. As previously announced at our Investor Day, we were under contracted by civil laws in Jersey City for $264 million with the closing expected very early in the second quarter. On January 31st, we closed down the acquisition of Prudential's 50% interest in M2, at an equity valuation of $78 million. This asset will be consolidated in the first quarter. Lastly, on February 6, as part of the 1031 exchange, we purchased of 272,000-square-foot office property, 99 Wood, which is adjacent to our 101 Wood property in Metropark. Turning to the balance sheet. During the quarter, we placed two permanent loans on our 2018 multifamily development deliveries. All run rates averaged 4.5% and spread to treasuries averaged 135 basis points. Our net debt to EBITDA was 9.3x in the quarter. This metric had a benefit in the quarter of approximately 0.4x due to sales timing and real estate tax adjustments. We use $70 million from the sale of our Elmsford Flex portfolio on December 31st to repay outstanding balances on our line of credit. Current tax projection show that we will be able to pay down debt of approximately $230 million from the remaining Flex transactions with the balance of these proceeds expected to be exchanged mainly into Soho Lofts. Shifting the guidance, as we stated in the press release, we are reaffirming core FFO guidance given our Investor Day of $1.60 to $1.70 before Topic 842 impacts in $1.57 to $1.67 after a $0.03 impact on both ends of the range for Topic 842. Going forward, the range of $1.57 to $1.67 will be our core FFO guidance range. We see same-store cash NOI coming in a range of minus 14% to minus 10% on a cash basis end at minus 7% to minus 3% on a GAAP basis. With current projections showing GAAP same-store NOI turning positive in the fourth quarter of 2019. We are projecting the same-store NOI range for multifamily of 1% to 3% on an expanded pool of approximately 5,600 units. This expanded portion give investors a better read through on the performance of our multifamily business in 2019. All-in-all, we believe we are built in a guidance range that accounts for the current protracted lease negotiation process and also gives us a chance to outperform. As I look back at the company, its assets and its strategy from when I started over a year ago, the transformation is striking. The team now looks to execute on our Waterfront strategy whose hallmarks are simplicity and focus. Our core market, the Waterfront, home to our headquarters is only 73.2% leased. The million plus square feet of vacancy is an immense opportunity and has the daily focus of all senior management. The annual capital requirements to further enhance the buildings are modest and can be easily funded from current cash flow and disposition proceeds. The second avenue of growth is our multifamily development program. Our current construction pipeline of five assets has 80% of it's spend concentrated in three assets on the Waterfront, where we have recently experienced record lease-outs. We look at financing the multifamily development business through our self-funding lends. The remaining $45 billion of equity commitment from Rockpoint will be drawn by the end of February, and we will look to at asset recycling as well as additional equity raised at NAV at either the entity level or assets level to fund the next round of starts. With that, I turn it back over to Mike for closing comments.
Mike DeMarco: Thanks, David. In closing, as my team is outlined, I think, we're set up to have a good 2019, even though; we have a great deal of work to do on the recent front. I really truly feel that our office strategy is being accepted by the tenants in a huge way [indiscernible] important by the focus understand us to be the Class A provider of water space in New Jersey. We are creating a real sense of place on the Waterfront total effect of [indiscernible] of office retail multifamily, which is excellent in terms of the short and long-term horizon. And with that, I’d like to take some questions. Operator, first question, please.
Operator: Thank you. [Operator Instructions] We will now take our first question from John Guinee of Stifel. Please go ahead, sir. Your line is open.
John Guinee: Two questions. With your levering up so much, your taxable income should be coming down. And you should have enough room within your taxable income parameters to not have the 1031 exchange. Is that correct or incorrect?
Mike DeMarco: John, it's an excellent point. What we've done is used every dollar of taxable income in the last several years in order to shield. This past year for example, the Flex business was done as an '18-'19 trade. So in '19, we’ve already used substantially all of the taxable income. So in 2020, as we lease up and have more income and as the projects mature the multifamily and get greater income, we will have more room. We only do 1031s with the same specific. We only do 1031s reluctantly. We try to pay down debt [indiscernible], do something else [indiscernible] money than buying an asset. But the deals that we bought recently, in particular, 99 Wood, recently been an excellent buy for us because we bought it right. It sits right next to the project that we've had extremely excellent results in that submarket for last two years.
John Guinee: Are you doing the 1031s to protect the taxable -- the re-tax status or to protect the OP unitholder level?
Mike DeMarco: Read only -- what happens John is the assets that we're selling have been held so long by this company. As you like to point out is that this company's been around for a long time. So those assets are 20, 23, 22-years-old. We have gains that are significant because that's fully depreciated literally have no tax basis whatsoever. So when we sell something for $50 million or $100 million, even if it's only $175,000 a square foot or $175,000 square foot is actually taxable to us. And we left with a quandary of paying the income tax having really [indiscernible] these proceeds if we can't use the shelter in the dividend. So our first game is to shelter the dividend, [indiscernible] user subs in the dividend, we get to keep all the money we pass on a tax benefit to our unitholders and shareholders and they pay it from the dividend that we gave them, if not then we do a 1031. But as I said before, it's the last step of the process, it's not the first.
John Guinee: Okay. And then David, I guess, you said that net debt to EBITDA is 9.3 with the 4.4 benefit. So really, I think, you're saying the net debt to EBITDA is about 9.7. Can you do two things split that between the office business and the multifamily business? And then talk about how far it can come down versus how far it needs to come down to attract your core institutional investor base?
David Smetana: John, thanks for the question. So the 0.4x benefit is going to be all on the office side. And so, I wanted to highlight it for everyone because that's a rather large jump from 10 to 9.3x. As we outlined in the Investor Day, taken in isolation, we believe the Flex transaction over both 2018 and '19 would reduce our net debt to EBITDA by about 0.75x. So I think it's fair for the quarter to add back to 0.4x. But know we have the $230 million of debt pay down coming from the bound for the Flex sale. That'll take us into the low 9s and that'll be offset as we run our business and continue to fund residential construction and put a mortgage on a residential multifamily property that we're buying. So not at all together, I think, we'll be right back down in the low 9s at the end of 2019. I think the second part of your question on where we need to be to attract -- in the split for the quarter, would be the office portfolio 7.8x. So if you added 0.4 there, that's 8.2, and the residential at 13.7, with all of the debt 11.4 taken out our CIP activities. And then I think the last part of the question is where we need to be. As we outlined at the Investor Day, I think, in 2020, as we get full quarter benefits of our lease commencements, we get below 9x. And then we look at where the shares are where we can raise equity in that and then that's the next moves to get below 8x net debt-to-EBITDA. I think, Mike has a couple of comments as well.
Mike DeMarco: So John, if you look at what we're aiming for, I think, the multifamily business and the way we’re currently running it, will always like to be between 8.5x to 10x. We'd like to get the office versus what we find is more risk rollover to get the lowest around 6x, maybe decided to roll that, mature them together [indiscernible] low 8, which is our threshold. We may have [indiscernible] equity in order to get there. But to answer your last question, what do I think we need to be in order to attract core funds that we need to first of all be leased, I don't think that below 11, if we get that much core interest. I think you need to be leased in the upper 80s, 88, 89 [indiscernible] we were two years ago. And I think your leverage is up [indiscernible] should be at 75.
John Guinee: All right. Thank you. Just, Mike, I think few people can hear you speaking into your microphone while David and Marshall were loud and clear.
Mike DeMarco: I will change mic because I'm sitting at the same table. Thank you, John.
John Guinee: Okay.
Mike DeMarco: I think, John, this getting better now.
John Guinee: We just love it comes in much better.
Mike DeMarco: Thank you. We know I'm a soft spoken persona John.
John Guinee: Okay. Thanks.
Mike DeMarco: Next question operator.
Operator: We will now take our next question from Emmanuel Korchman of Citi. Please go ahead.
Emmanuel Korchman: Nick, talked about 800,000 of tenant discussions on the Waterfront. Can you -- and thanks for breaking that down for us. Can you compare that to where it's been over the last few months or quarters? Just give us an idea of whether that's sort of increase, decrease, same? Thanks.
Nick Hilton: Well, we start from the first quarter of last year. It's a significant increase, just not only in volume, but in the in the tenant mix. Quite frankly, as the year progressed last year, we saw more and more momentum, a good amount of tours, inquiries, proposals and it continued. Now there were gifts just because of time of year right, summer, and then over the holidays. But I would say if you compare this quarter to one year ago, it's probably twice as high, at least.
Emmanuel Korchman: Mike, there's been some discussions of growing [indiscernible] being passed out this summer replaced by some other programs? Have any tenants made mention of that or waiting for that to sort of finalizing before making a move?
Mike DeMarco: No. We think people will come in a little earlier if they want to get in when the program is still there. But no one is making the comment, everyone knows, I think, everyone convinced that the Governor of the House is forwarded, the Speaker of the Senate swinging with the other details according their transaction is always been [indiscernible] of that program. I think it'll just go through the summer and make finalized is what most of the legislative [indiscernible]. The Governor's not backing away from it [indiscernible] Speaker of the Senate leaves the question of the quality of the program. And the amount, I think, there will be consistent theory between residents that you wouldn't pay for. You pay for interest stake -- because that interest stake moves. So you won't pay to someone moving from [indiscernible] to Hanover, but you pay for someone moving from Manhattan to Jersey City.
Unidentified Analyst: Good morning. Just a question on the leverage point. And when you talked about you said multifamily is always going to be 8.5 to 9.5. And if you look at the multifamily number, which are active developers -- they all keep their balance sheets 4x to 5x levered. Why should Roseland be 8.5 to 9.5?
Mike DeMarco: We started out with more leverage to begin with. We've being building this the inside of a transformation process. So if we were starting fresh, I would agree with you 100%. But looking at where we are being based on these [indiscernible] ourselves? What can we do? How can we sell at fund? How can we create value. And we've done a very good job of creating true NAV and represent them with great projects that we delivered. Over time, we know that we want to raise equity or over time to have a sustainable business, we don't have to get delevered over time. We take it in equity from Roseland. We believe we can joint venture of other sales, if we need to. We've already started the process of trimming the bottom. We sold the deal last year, obviously, sold a few deals this year. We probably sell some land. So it's on our mechanism. The first risk that we had was the office business [indiscernible] over 11x and 8.5x. So this quarter, we're getting it down lower. And we got to shot it to really get into the [indiscernible], Michael, which I think would be somewhat bulletproof. The multi-families that follow us pursuit, but in the interim, if you start a new project, which are excellent deals and get great returns, you're putting on leverage. In the whole consolidation phase, when we were a little disguised and we took over, because we had basically hidden leverage in a sense of we have partial ownership of joint ventures that one fully consolidated, and Green Street was one that that consolidated all the way through. And all what we've really done in a lot of our moves is basic home. The other piece of the building that we already own the piece of [indiscernible] leverage went up this quarter like consolidating M2 and [indiscernible] I would tell you the options of owning those assets is greatly enhanced from anything we do, from raising equity to whatever, because now we don't really own 80% of these projects.
Operator: We will now take our next question from Derek Johnson of Deutsche Bank. Please go ahead, sir.
Derek Johnson: Mike, can you discuss where the Flex portfolio sale sits? I know we saw a small piece. But I kind of feel like that the timing has been pushed back a little bit, and we've been talking about it for a while. Any color there?
Mike DeMarco: No. I think we would have like to get both pieces done like December, January. But the second piece was four times larger than the first piece. So we did a quarter of it, maybe 20%, just before year-end. The other piece is really under contract. We'll close, as David said, early second quarter. Really making, I just asked St. Patty's Day, literally just ask with March Madness maybe national champion won’t be take that at night. And probably given the nature of -- look at that sale, its' several million square feet and has numerous buildings, and that's how we made in the little longer, the number of title reports, environmental reports can close it over. But it hasn't really shifted our mind. We always thought it would be done, maybe in March, and maybe now it'll be in April close. So maybe 30 days back, but number on that.
Derek Johnson: And just another one on Amazon to pull out of Long Island City, do you think that affected the whole food lease? And really what was a beautiful space that you had the Investor Day? And is there any update on that?
Mike DeMarco: That should be done literally we're at the [indiscernible] is the one foot line. Its two deals at the store and at least for this quarter space for the Northeast headquarters. We should be announcing that hopefully. We can't guarantee anything, but haven't pulled back anything that we forward with it. We don't like to discuss with Amazon if once after the best settles extra safe line around. On the Waterfront -- on the Hudson River versus [indiscernible] River, but no question about that. We think the commitment once that deal is announced, we will be announcing -- it was an [indiscernible] space of the food tenant industry. One of the things that we're [indiscernible] we got Brooklyn today, we have a number of incubator companies [indiscernible] growing in the food business. Every city has a better location for the institution. And the City of New Jersey is the home of the most of the major food corporations around East Coast. [indiscernible] number of divisions in the state [indiscernible]
Derek Johnson: And then just lastly, so that the whole food space -- would that have been in the 120,000 square foot pipeline of new transactions? Is that baked into that number or in addition?
Mike DeMarco: Yes. Yes, it is. Operator, next question, if any?
Operator: We will now take next question from Daniel Ismail of Green Street Advisors. Please go ahead, sir. 
Daniel Ismail: I'm curious. I saw the announcement about some changes of the Board, earlier this month. Curious as to will there be any other Board changes coming later this year or any other corporate governance changes as well?
Mike DeMarco: We've take an active view toward Board structure and organization. That is just about refresh. So John represented about 40 years ago, and we came off with a replacement with Robinson. And we had a gentlemen retired, we didn't replaced him [indiscernible]. This year we're putting two people on. One of our gentlemen is retiring. So we basically -- this is 3 women in a row, if you don't count myself, because I was ended as a Director [indiscernible] much normal for CEO [indiscernible]. We expect, as we said in the press release, to further changes over the next coming years. So I think something will happened, it might be 20 and 21. We look to have a Board reflect the society that we live in. So we're thinking a very active story. Obviously, we [indiscernible] But in Board's structure, we adopted to move last year that and ourselves with the Board in line with some of the best practices. We consider those things every angle.
Daniel Ismail: And just maybe saying on some Amazon news, you guys have some properties and landed on Crystal City. Is it fair to assume, perhaps with the lack of tax protection on these assets? Is it tax consequences on those assets? Perhaps, this would now be 2019 dispositions?
Mike DeMarco: When in the time [indiscernible]. We are -- we'd like to sell on -- what else if we're selling on …
Danny Ismail: [indiscernible]
Mike DeMarco: [indiscernible] sell on cavalry we buy that cannons, right? So now Amazon is coming. It's been -- we got a lot of inquiries, a lot of inbound, we're working with our partner to exit that investment. We will have some tax again, which we will be able to make shelter. And we [indiscernible] put into '20. But it's an asset that we've done a good job on and we can make a few dollars, and then use that to pay down debt in multifamily business. To that end -- there's also the one in the station [indiscernible]
Danny Ismail: Okay. And just last one for me on the land impairments, on the Pennsylvania assets. Any color to share on the change of plans on those assets since the impairment itself?
Mike DeMarco: We went through -- and to Michael Bilerman's point, we realized the leverage of having a multifamily business, and we're looking to trim it up. So we sold that asset that we had a runway, but looking at selling land throughout the portfolio that we have in some suburban locations. And only really focusing, Daniel, on what we put into this [indiscernible] which is the better size of the Waterfront. These are two sides that we had acquired, put some money in. But when you go to flip them to the next guy, you're going to take a hack up ranker you. [indiscernible] you are going to want to make a few dollars on our purchase, so we took the impairment charge. Discipline, we just looked him said, it is something you want to build, it takes [indiscernible] to build, you have to own [indiscernible] and afterwards would you want to take the money today put it in something that you want.
Danny Ismail: No. That was it for me. Thanks guys.
Mike DeMarco: Operator, next question?
Operator: We will now take our next question from Jamie Feldman of Bank of America Merrill Lynch. Please go ahead. 
Jamie Feldman: I just wanted to ask you on the cap rate on the remaining Flex sale. Could you guys provide -- is it going to be the same cap rate is what you've announced so far? Or is it different sort of remainder?
Mike DeMarco: David sense you that one. David?
David Smetana: So Jamie, I think, we announced for the entire portfolio, it'd be a cash cap rate of 6 too before EBITDA savings. First now, we think we'll get that down to a 6 flat or below. But no, it'll be slightly higher of being the mid to high 6s the purest industrial piece of that portfolio already traded at [indiscernible] before buy. So they get to the fix too. You have to average in the mid to high 6s on the balance.
Jamie Feldman: Okay. And then the 800,000 square feet of potential leasing on the Waterfront, I know, you mentioned some of that was Amazon. I know when we were there for the Investor Day, you talked about the build the suite site near the hotel. Can you just break out what's in that 800,000 and how much of it is purely for some of the vacancy you have in the office space and how much is for some of the delivered projects?
Nick Hilton: This is Nick, Jamie. The 800,000 includes the build to suit site. So it's really just activity in Jersey City or in Hoboken for say, not anything that we've constructed a new building. And as Nick pointed out, it's about 7 to 8 tenants, plus 5 industry groups, size ranges 50 on the low end probably 400 on the high end, and probably have one 200, three 75s or 125s. I think it makes it break rate. I want everything from cosmetic company, consumer product company, bank, advertising, to get very specific, those are the industry goods, some money managers and so forth.
Jamie Feldman: Okay. And then in your prepared remarks you talked about enthusiasm -- I mean, it sounds very enthusiastic about leasing, but then when David talked about guidance, he talked about protracted leasing. Can you just kind of balance what those two conflicting comments on just was realistic here?
Nick Hilton: David and I are pretty simple men. I wake up enthusiastic in the morning, and David, I think directs his day. So to be -- look at last year versus this year, last year we -- in February, [indiscernible] We didn't have a lot of activity. We were thinking about some deals are coming on. We really didn't start get going into like [indiscernible] remember, we started, Dick and I, but we feel good after St. Patty's Day. Today, in February and January [indiscernible] much higher. So I'm more optimistic. I also exited few big deals, few things running around this year the quality is better, the inbound is better. I think the product and you go on the tour. These are things that help shows better. I mean tenant makes the -- tenant gains are probably 90% are impression in the first five minutes [indiscernible]. So the better we can do on showing our assets in a right way, in the first five minutes, and the story is being formulated is our best time, and we think, we've done something. So the progress has come back. We constantly monitored the feedback, if you like suburbs and what we completed, what we did in the Waterfront, they like the deal, they like the product. There is really no new construction. It isn't like you're competing as a brand new building, you haven't been had. And just for reference, in order to have a new building in New Jersey, in the suburb along the Waterfront, we're talking built into the structure. And the rent is we calculated, we do this all the time. It's around 55,000 higher. If you did a typical suburban building, which was flat and talking was in a normal field maybe some few spots on the building, the number is probably $44, $45, with a lot of room and our markets before we ever get to new supply.
Jamie Feldman: So what do you think delay -- if there is any delay like what are these tenants waiting for to make their final decision?
Mike DeMarco: So I'm going to come out -- we met the companies before, I got 50 comes out and then moving within 9 to 12 months. If you know the build-outs relative to easy and decision making is somebody moving out of one building to another, when it fix to $100,000, you add about six months to the lead time, because it's a several division move, and then see what divisions are coming out of New York City or New Jersey is going to accelerated. And anything with the two handle or more, its 24 months move or greater with someone's coming out and saying we're doing a complete corporate relocation. Let's get it right more talking about everything. I think what we're doing is really solid job on selling the amenities and lifestyle that we can offer. And the point I made earlier about every building we had to the Waterfront creates a sense of place. If you look at this market pre and post early [indiscernible] from us, it totally changes. The skew stage is more active. Number of people in our residential, sorry, marketplace changed over. And we think the projects that muscles planning with two of them in food preschools to 3rd grade with a theater we're putting another building, and some of the improvements we made for the base of homicide. This really is boarding well for us for attracting tenants. And it goes on as we go into something [indiscernible] so you have to deal accordingly.
Jamie Feldman: Okay. So based on those lead times, I mean, is it safe to assume some of these larger ones may not hit until late this year at the earliest?
Mike DeMarco: That's a very good assumption. That's what the conservatives bring in. That's why I have [indiscernible].
Jamie Feldman: Okay. And then some of the smaller ones might be more first half leases?
Mike DeMarco: Small ones -- we get some 20s, which are meaningful, right. So you get 20,000 square feet in $50 average rent, which is what we have over a 10-year term, we got $47 [indiscernible] it's $1 million, right, 20 times $50 is $1 million. $1 million can hit [indiscernible] if we get them in, if we do the deal and we sign them up now which we have one or two that we're doing, you get some of that in the fourth quarter, after [indiscernible]. Definitely getting over 20 of that, right. If you get a guy who's 50,000 square feet and takes until June or July to make the decision, the construction crews longer [indiscernible]
Jamie Feldman: Okay. Do you need some of these larger leases to hit for that GAAP same-store of turn positive in the fourth quarter or that's pretty much baked in?
Mike DeMarco: It's pretty much backed in. Let me -- here always going to be a little bit help.
Unidentified Company Representative: That's baked in, Jamie. When I talked about that I talked about that at the midpoint of a range. We understand the tenants we're dealing with in the sizes and how long it takes to build out 100,000 square foot space versus 40 and 20. So that's all baked in at the midpoint.
Jamie Feldman: Okay. And then just last question for me. In the past, Mike you've talked about Roseland is being too small to spin. At what point do you think it has enough critical mass to spin it off?
Mike DeMarco: Thinking of about 18 months, to be honestly, maybe 24. Some things would -- do just to be candid. So if you can see the strategy, within that exit D.C. and the Philadelphia where [indiscernible] we're probably going to exit all the suburban land as it becomes a title. We'll hit those cash and we're accumulated and put into Jersey City and the Waterfront assets. We have a good Boston asset, if we could trade those into something in our marketplace. And then we can trade a really more cohesive Waterfront strategy. We believe we just ease to operate, better results. And Jersey City noted among people we talked to being one of the best multifamily markets in the country from a supply demand both our [indiscernible] we went up relatively well. We achieved 6.5 to 7 [indiscernible] deals right? I think a lot of our competitors take those numbers. So at the end of the day, at some point, you spin it, that will excel the whole thing, we work for the shareholders, it's all about creating great value to getting the stop [indiscernible] or more importantly how would we sell, it's creating the new NAV is at the end of the day that's what really [indiscernible] stock over the other, right. We going to have a value of the people.
Operator: We will now take our next question from Steve Sakwa of Evercore. Please go ahead.
Steve Sakwa: Thanks. So you touched on it with Jamie a little bit, Mike. But I guess is we're just thinking about the lease up of roughly million feet in Jersey City. It sounds like it's probably a good three year, kind of '20, '21, '22 in terms of getting the economics to kind of really start to hit from kind of a gap and certainly a cash perspective. Is that a kind of fair time table to think about?
Mike DeMarco: Yes, I think builds up. I think if you have a better view by the third quarter this year because some things that we're working on if they do hit we'll make 20 about a year, but if they delayed then 20 will become a good year, but not an excellent year. You're actually running a few, look at if you did 300,000 square feet this year, 300,000 next, that's 600,000 hits '20, some of which more than '21. And what you can do all at the end of '20, we really wind up with '21 having a bulk of it, yes. We get back on 50 or 60 [indiscernible]
Steve Sakwa: And I guess circling back to comment the discussion you have with Jamie, even if you signed 300,000 feet of leasing, even if it happened tomorrow, the GAAP impact of those leases, probably takes a while. And so, I guess, there's the -- getting the lease signed and there's getting kind of the economics to hit both GAAP and cash?
Mike DeMarco: 100%. But I'll point out as a balancing. If you look at what we achieved on renewals and new deals in the last year, we have very, very good numbers as of all peer group. Cash was excellent. GAAP was really, really excellent numbers. So we're getting the right results. It's a matter of when it comes in. No, it's been a long. But we feel like we're chipping the way at it. And what I have this scenarios and the scenario of where with the million square feet at latest with the leasing flat of what we build to expire that or even negative, which is where we were four years ago. So right now, we have significant role. We have a lot of deals that people come to us early minerals that are at $35 in the [indiscernible] mid to high-40s. So the cash again looks good for us.
Operator: It appears there are no further questions at this time.
Mike DeMarco: Then I look forward to seeing many of you have at the [indiscernible] conference where we listen to Michael Billman's playlists. And hopefully Michael has had a nice playlist this year. Have a wonderful weekend. Talk to you soon.
Operator: This concludes today's call. Thanks for your participation. You may now disconnect.